Operator: Greetings, and welcome to the Ribbon Communications First Quarter 2021 Financial Results Conference Call. . Please note, this conference is being recorded. I will now turn the conference over to your host, Tom Berry, Investor Relations for Ribbon Communications. Thank you. You may begin.
Tom Berry: Good afternoon, and welcome to Ribbon's First Quarter 2021 Financial Results Conference Call. I'm Tom Barry, Investor Relations of Ribbon Communications. Also on the call today will be Bruce McClelland, Ribbon's Chief Executive Officer; and Mick Lopez, Ribbon's Chief Financial Officer. Today's call is being webcast live and will be archived on the Investor Relations section of our website at ribboncommunications.com, where both our press release and our supplemental slides are currently available. 
Bruce McClelland: Great. Thanks, Tom. Good afternoon, everyone, and thank you for joining us today to discuss our first quarter 2021 results and our outlook for the remainder of the year. We had a strong start to 2021 from a profitability perspective, with both adjusted EBITDA and non-GAAP earnings per share at or above the high end of our guidance ranges. We also had very good bookings in the quarter, with the book to revenue ratio, excluding maintenance, of 1.14x and the maintenance bookings for the year are now at nearly 80%. This gives us very good momentum towards our financial targets for the year.  In our Cloud & Edge business, we posted strong gross margins along with an 18% reduction in our non-GAAP operating expenses year-over-year, resulting in EBITDA nearly tripling compared to first quarter 2020. Sales were essentially flat after adjusting for the sale of the Kandy business. Demand for our core SBC portfolio remains strong, growing 12% year-over-year, offset by continued weaker demand for the on-premise enterprise edge platforms during this prolonged work-from-home environment.  Last month, Microsoft announced a new operator Connect service, which we already support with our session border controller products. We believe this new service offering will reduce the friction for enterprises to easily deploy high-quality voice capability via the Team's platform and plays to our strength given our broad deployment base with mobile and fixed service providers. This new service will complement the current direct routing alternatives already available, including our new Ribbon Connect as a service offering that includes support for legacy PBX interoperability in partnership with our channel partners. We have a growing pipeline of partners embracing this new platform and are currently onboarding more than 60 resellers to the program. This is an important initiative as we build our base of recurring revenue. 
Miguel Lopez: Thank you very much. As Bruce stated, we had a strong start to the year with continued revenue growth and first quarter profitability that exceeded our expectations. We generated revenue of $193 million, which was in line with our guidance, and adjusted EBITDA of $20 million, which was above our guidance of $14 million to $18 million. This led to an adjusted earnings per share of $0.03, which was at the high end of our $0.01 to $0.03 guided range. As always, please refer to our Investor Relations website for supplemental slides with graphs and tables summarizing our first quarter 2021 and historical financial performance.  Let's start with some commentary about our GAAP results for the quarter. Our GAAP earnings included a $24 million noncash loss associated with the quarterly mark-to-market of the company's investment in American Virtual Cloud Technologies, known as AVCT, from the sale of our Kandy Communications business last year. This was partially offset by $1.5 million in paid in-kind interest income earned on the convertible debt from the same transaction for a net negative impact to GAAP income of $22 million or $0.15 per share.  This was in sharp contrast with a large positive impact of $114 million to income and $0.74 to earnings per share in the fourth quarter of 2020. As we mentioned on last quarter's earnings call, fluctuations in ABC stock price affect our other income and expense line as we mark-to-market our investment. Due to this volatility, we have excluded these items related to the Kandy asset sale from our non-GAAP results.  In addition to the usual other factors contributing to the difference between our GAAP and non-GAAP results for the quarter, such as the amortization of intangible assets and noncash compensation, we incurred $6 million in restructuring expenses related mostly to continued downsizing of our real estate footprint and $1 million in integration expenses. 
Bruce McClelland: Thanks, Mick. While we continue to execute well in the near term, our focus is also on the longer-term transformation of the company. This is a unique time in our industry with significant competitive shifts creating opportunity for Ribbon to gain share while benefiting from the strong secular demand for bandwidth and the increased adoption of cloud communication services.  Over the next several years, we also expect significant federal funding initiatives to further improve the broadband infrastructure, along with network upgrade investment to support 5G deployment and to modernize legacy TDM networks. We are winning new business that is directly related to the combined strength and portfolio of Ribbon and ECI, validating the merger strategy and growing both top and bottom line.  I'm very excited about the strong pipeline of IP Optical opportunities, and in particular, several late-stage Tier 1 service provider evaluations, leveraging existing strong ribbon relationships. Our portfolio differentiation is becoming more clear in the market and with our customers. Our highly optimized metro WDM platforms are perfectly complemented by a strong portfolio of IP MPLS switching and routing products. 
Operator: . Our first question comes from Dave Latimore with Northland Capital Markets.
Mike Latimore: This is his brother, Mike Latimore, calling in. So interesting on these late-stage Tier 1 opportunities, did you say that they were with Cloud & Edge customers, one. And also maybe what regions are they in?
Bruce McClelland: Yes. So I was referring to the IP Optical, Mike, not in Cloud & Edge in that commentary. And it's in multiple regions. I think I mentioned Russia, specifically North America, specifically and Asia Pacific as well. So a number of different opportunities well down the pipeline basically to comment on them now. So
Mike Latimore: Yes. And are they with current Cloud & Edge customers that are also looking at this? Or is it independent of it?
Bruce McClelland: Yes. So several of them are not all of them, but more than half of them.
Mike Latimore: Okay, right. And then it sounds like in India, obviously, a lot more restrictions. I guess you sort of factor that into your guidance here, right, that you're assuming it is a little tighter for a while?
Bruce McClelland: Yes, exactly. I know -- well I commented on the first quarter was pretty consistent with what we saw in the second half of last year. So it is more robust than what it was in the first half last year. But certainly not anywhere back to full deployment velocity. If you look at the deployment that we're seeing right now, it's about 60% of what we saw pre-COVID. So there's plenty of room to run still and we've tried to take that into account, certainly with our second quarter guidance here.
Mike Latimore: And just last one. At one point, you commented on voice traffic volumes relative to pre-COVID levels. I think you said they were like 30% above -- recover at 1 point last year. I guess any update on kind of what you're seeing in terms of traffic volumes?
Bruce McClelland: I don't have an updated quote on that, but I will follow up on it, Mike, and see if I can get some more detail on kind of latest traffic levels. I just don't have anything in front of me here right now.
Operator: Our next question comes from Dave Kang with B. Riley.
Dave Kang: My first question is regarding the chip situation. Any impact to your first quarter results or second quarter outlook?
Bruce McClelland: There was nothing substantive, Dave, that impacted Q1. It was obviously tight. We've definitely seen lengthening lead times and challenges on a variety of different types of components. But like many, I guess, we saw this coming. We're trying to get out in front of it as much as we could and had sufficient for Q1. And right now, we're not anticipating big issues in the second quarter, again, trying to plan ahead here. We'll see how the second half goes. The real issue comes down to any decommits kind of within promised lead times that you end up with issues on deliveries. But so far, so good. But it's pretty tight. It's got to be worked every need.
Dave Kang: Also, somebody -- another equipment vendor reported earlier this morning talked about margins getting hit because the prices are going up. What about you guys any margin impact because of increasing prices?
Bruce McClelland: There is a little pressure on prices. Certainly, on logistics as an example, we've seen some elevated costs around that. which will -- which impacts a portion of our business. Of course, a lot of what we sell is software as well. So the direct effect on the overall profitability for the company might be a little less than somebody that's more concentrated on hardware.
Dave Kang: Got it. And then I did have a question on India. So it's running about 60% pre-pandemic. When do you expect India to fully recover back to the pre-pandemic level? Are you assuming second half? Or is there something beyond second half this year?
Bruce McClelland: Well, so what we believe happens is the second half of the year begins to strengthen from where we're sitting today. Obviously, it's a little hard to tell exactly when we're back to pre-COVID levels. And it's a combination of factors around funding for new projects and budgets, et cetera, but then just the logistics in the country and deployment velocity. And we're able to get pretty good visibility on the deployment of our products we're directly involved from a service and logistics perspective in the country. And so the 60% number is pretty accurate based on what we're seeing right now.
Dave Kang: And can you remind us what India was pre pandemic? Was it about 10% or?
Bruce McClelland: Yes. So for ECI, it was about 1/3 of the business prior to merging with Ribbon. So call it in the mix $125 million a range -- annual run rate range, something like that pre-COVID.
Operator: Our next question comes from Paul Silverstein with Cowen.
Paul Silverstein: I've got a couple of questions. One to start with India, just to try to bins. When you -- Bruce, when you talk about -- if I saw in the prepared remarks, you're talking about meaningful improvement in the second half. And I guess what I've just heard you say sounds a little bit different than that. But if I could press you in terms of how much visibility to have into the second half underlying your view? And what exactly is that view in terms of the degree of strength you're expecting in the second half of the year?
Bruce McClelland: Well, with the larger service providers we're working with in India, we have a pretty tight planning relationship given where lead times have gone on products and whatnot. We have to have good visibility and we sell a portfolio of products. There's a whole variety of different configurations that we sell, and you've got to have that right in the planning phase. So we go through a bit of a budgeting process and then an engineering process with many of our customers to get to the bill of material to be able to be driving things correctly. So we get good visibility on, say, the next 3 months. And the next 6 to 9 months beyond that, we have more planning directional information. So it's not 100% scientific, but it's pretty decent. And of course, where you'll see variabilities is when we're bidding on new regions of the network or replacement of product and things like that. You don't know for sure how much you're going to win or if you're going to win, so there's some variability around those things.
Paul Silverstein: Bruce, given that the spike in the pandemic appears to be a relatively recent vintage. I recognize it didn't just start yesterday, but it's also not 3 or 6 months old. Have you had real-time communications in the last week or 2 that would inform you as to whether there's been a change in their deployment plans? I recognize we're not side about a demand issue, but literally the fiscal ability of your customers or you want to be after your customers to deploy product. But have you had communications since it's been apparent that the pandemic spiked up and whether that's changed their planning with respect to those deployments in the second half of the year?
Bruce McClelland: Well, given the timing of earnings and providing guidance, we do a pretty thorough job in a couple of weeks leading up here to make sure we've got a reasonably accurate view. And we're not projecting significant growth in the second quarter here in India. If things tightened up dramatically, it would have an effect, I suppose, right, obviously. But on the other hand, the country has been living in some pretty tight restrictions for quite a while as well. So I think the answer to your question is yes. We've had discussions and believe we've got an accurate view on what happens here in the second quarter.
Paul Silverstein: And Bruce, again, my apologies. One last question on India. Looking beyond the second quarter into the second half of this calendar year, has there been any change in their deployment plans in the past couple of weeks because of this spike up in COVID?
Bruce McClelland: Not that I can put my finger on right now, Paul. But yes, that's the best I can answer the question. I think.
Paul Silverstein: No, I appreciate that. And Bruce, to be clear, you're expecting a healthy, a strong increase in the second half of the year relative to that 60% number?
Bruce McClelland: We are. We are. We're projecting the second half stronger than the first half. Part of it is projects or parts of the network that were already being deployed in and part of it is new wins that we're anticipating given opportunities for market share gains in the market.
Paul Silverstein: And these are primarily or exclusively optical deployments?
Bruce McClelland: No. It's a combination of the IP MPLS portfolio and the optical portfolio.
Paul Silverstein: Okay. I appreciate that insight. Let me move on. In terms of opportunities, you've referenced Huawei a couple of times during the call, and I want to make sure if I understand. It sounds like you've already secured at least one particular deal. I think you characterized it as $3 million. And I think it was on the voice side of the house. And I think I heard you say that you also are close to finalizing a deal to displace them in optics, although perhaps misunderstood. But is there any incremental sight you can give us in terms of how many opportunities there are in total that you're in various stages of trying to win that are directly linked to Huawei displacement of new awards? How many of those are in optics, how many of those are in voice or void communications, et cetera? And whether it's accelerating, whether it's not steady state, any insight on the opportunity?
Bruce McClelland: Yes. So first to answer the first part, you characterized it correctly. I referred to a voice replacement opportunity in Cloud & Edge and also referred to kind of close to the finish line on a replacement opportunity in IP Optical. The opportunities we're seeing are both in the optical portion of the network as well as in the IP portion of the network. And certainly, the India market is one of the key focus areas as well as several countries in Europe today. And in general, I think these are fairly meaningful opportunities for us that will move the needle, or I wouldn't mention or wouldn't refer to them sort of things. So these are not dozens and dozens necessarily. We're focused on a specific list of opportunities where we're either already currently deployed today and we can gain more share or new insertion opportunities with new customers.
Paul Silverstein: Bruce, while I appreciate it's not dozens and dozens. Is it over a dozen or would it be more like 6% to 12% or even lower than 6% in terms of total potential opportunities that you look at
Bruce McClelland: The meaningful ones in the short term are under a dozen. There's real focus around these things. It's not kind of a shotgun in a broad array.
Paul Silverstein: Would have been in that 6% to 12% range?
Bruce McClelland: Yes.
Paul Silverstein: I appreciate that. Beyond Huawei, what are you -- if you had to tier what you're most excited about in terms of driving revenue growth specifically, what would be number 1 and 2 and 3?
Bruce McClelland: Well, the Top 2, our Huawei opportunities. Well, top 3, Huawei opportunities. The second is recovery in the India market. And then the third is success in North America that we've talked about and the growth that we're targeting here in the North American market. Those 3 things, all focused on the IP optical portfolio are the areas that we believe will drive growth as the year progresses here this year?
Paul Silverstein: All right. I've already asked you about 2 of the 3 of those. I just have one question on the -- well, actually a broader question just in North America. And I think I already say you've got a number of opportunities service providers around the world, Russia, U.S., et cetera. Again, trying to get some granular insight, can you characterize -- is that also in the range of 6 to 12? Is that more than a dozen? Is it less than half a dozen, any rough quantification you can do?
Bruce McClelland: Well, let me come at it a different way. I think the second quarter is going to be fairly significantly stronger in North America for us on IP optical. So we have a number of projects that are in flight already today that we'll recognize revenue on in the second quarter. So I think we'll see some meaningful improvement there. And as I referred to these Tier 1 opportunities, these are -- again, they're a very focused set of, call them, half a dozen opportunities that are meaningful to the company that we're focused on and believe we have a very good shot at winning some share in them. And hopefully, we'll have more specific detail to share on the next call.
Operator: Ladies and gentlemen, there are no further questions at this time. I'll turn it back to management for closing remarks. Thank you.
Bruce McClelland: Great. Well, thanks again for everyone being on the call and your interest in Ribbon Communications. We really look forward to speaking with many of you at our upcoming virtual investor conferences. and updating you on the progress on our next earnings call. With that, operator, that concludes our call.
Operator: Thank you. All parties may disconnect. Have a good evening.